Operator: Ladies and gentlemen, thank you for standing by. Good day, and welcome to the Northern Trust Corporation First Quarter 2018 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over the Director of Investor Relations, Mark Bette, for opening remarks and introductions. Please go ahead, sir.
Mark Bette: Thank you, Paula. Good morning everyone, and welcome to Northern Trust Corporation's first quarter 2018 earnings conference call. Joining me on our call this morning are Biff Bowman, our Chief Financial officer; Aileen Blake, our Controller; and Kelly Lernihan from our Investor Relations team. For those of you who did not receive our first quarter earnings release and financial trends report via email this morning, they are both available on our Web site at northerntrust.com. Also, on our Web site, you will find our quarterly earnings review presentation, which we'll use to guide today's conference call. This April 17th call is being webcast live on northerntrust.com. The only authorized rebroadcast of this call is the replay that will be available on our Web site through May 15. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Now, for our Safe Harbor statement, what we say during today's conference call may include forward-looking statements, which are Northern Trust's current estimates and expectations of future events or future results. Actual results, of course, could differ materially from those expressed or implied by these statements because the realization of those results is subject to many risks and uncertainties that are difficult to predict. I urge you to read our 2017 Annual Report on Form 10-K and other reports filed with the Securities and Exchange Commission for detailed information about factors that could affect actual results. During today's question-and-answer session, please limit your initial query to one question and one related follow-up. This will allow us to move through the queue and enable as many people as possible the opportunity to ask questions as time permits. Thank you again for joining us today. Let me turn the call over to Biff Bowman.
Biff Bowman: Good morning everyone. Let me join Mark in welcoming you to our first quarter 2018 earnings conference call. Starting on page two of our quarterly earnings review presentation, this morning we reported first quarter net income of $381.6 million. Earnings per share were $1.58, and our return on common equity was 16%. As noted on the second page of our earnings release, this quarter's results included a net $6.8 million tax benefit associated with the true up relating to the Tax Cuts and Job Act, and a change in accounting method for software development-related expense deductions and $8.6 million charge associated with severance-related and restructuring charges. The quarter also included $23.9 million in fee revenue and $23.7 million in expense related to our acquisition of UBS Asset Management's fund administration units in Luxembourg and Switzerland, which closed at the beginning of the fourth quarter of 2017. Included in the $23.7 million in expense was $4.1 million relating to integration activities. Additionally, the adoption of the new revenue recognition standard resulted in an $8 million increase in both wealth management fees and outside services expense. Before going through our results in detail, I would like to comment on some macro factors impacting our business during the quarter. Equity markets were mixed during the quarter. Markets were favorable on a year-over-year basis with the S&P 500 and MSCI EAFE indices increasing 11.8 and 2.5 respectively. But on a sequential basis, both indices declined with the S&P 500 down 1.2% and the EAFE down 5.1%. Short-term interest rates continued to increase during the quarter driven by a rate hike from the Federal Reserve. Currency rates influenced the translation of non-U.S. currencies to the U.S. dollar, and therefore impact client assets and certain revenues and expenses. The British pound and euro ended the quarter up 12% and 16% respectively versus the prior year as compared to the U.S. dollar. On a sequential basis, the British pound and euro also strengthened. The strengthening of these currencies compared to the U.S. dollar favorably impacted revenue, but had an unfavorable impact on expenses. Let's move to page three and review the financial highlights of the first quarter. Year-over-year, revenue increased 15% with non-interest income up 17%, and net interest income up 8%. Expenses increased to 11% from last year. The provision for credit losses was a credit of $3 million. Net income was 38% higher year-over-year. In the sequential comparison, revenue was up 3% with non-interest income up 5%, and net interest income down 1%. The expenses were down 1% compared to the prior quarter. Net income was 7% higher sequentially. Return on average common equity was at 16% for the quarter, up from 11.6% one year ago, and up from 15.1% in the prior quarter. Assets under custody/Administration of $10.8 trillion, increased 21% compared to one year ago, and 1% on a sequential basis. Included in assets under custody and administration is $607 billion relating to the acquisition of UBS Asset Management's fund administration units in Luxembourg and Switzerland. Assets under custody of $8.1 trillion, increased 14% compared to one year ago, and was up slightly on a sequential basis. For the year-over-year comparison, favorable market impacts, new business, and favorable movements in foreign exchange rates were the drivers. For the sequential comparison the favorable moves in currency exchange rates and new business were mostly offset by unfavorable market impacts. Assets under management were $1.2 trillion, up 16% year-over-year and up slightly on a sequential basis. The year-over-year increase was driven by favorable markets and new business flows, while sequentially a negative market impact was offset by new business flows. Let's look at the results in greater detail starting with revenue on page four. First quarter revenue on a fully taxable equivalent basis was $1.5 billion, up 15% from last year, and up 3% sequentially. Excluding the acquisition, revenue was up 13% from last year. The favorable translation impact of changes in currency rates benefited year-over-year revenue growth by approximately 1.5%. Trust, Investment & Other Servicing Fees represent the largest component of our revenue, and were $938 million in the first quarter, up 16% year-over-year, and up 3% from the prior quarter. Excluding the UBS acquisition fees were up 13% on a year-over-year basis. A change in presentation of certain fees resulting from the adoption of the new revenue recognition standard increased fees by $8 million during the quarter within our wealth management business. There was a corresponding increase of $8 million within the outside services component of expense. Foreign Exchange Trading Income was $78 million in the first quarter, up 63% year-over-year, and up 25% sequentially. The increases were primarily due to higher volumes and increased foreign exchange swap activity in our treasury department. Volatility, as measured by the G7 Index, was up sequentially, but down from one year ago. Other non-interest income was $76 million in the first quarter, up 2% compared to one year ago, and up 6% sequentially. This increase from one year ago was primarily driven by higher security commissions and trading income, partially offset by foreign currency adjustments within other operating income. The sequential increase was primarily due to higher transition management and core brokerage revenue. Net interest income, which I will discuss in more detail later, was $393 million in the first quarter, increasing 8% year-over-year, and down 1% sequentially. Let's look at the components of our trust and investment fees on page five. For our Corporate and Institutional Services business fees totaled $544 million in the first quarter, up 18% year-over-year, and up 2% on a sequential basis. The quarter included $23.9 million in fees relating to the acquisition of UBS' Asset Management's fund administration units in Luxembourg and Switzerland. Excluding these fees, C&IS fees were up 12% compared to the prior year. The favorable translation impact of changes in currency rates benefited year-over-year C&IS fees by approximately 3%. Custody and fund administration fees, the largest component of C&IS fees, were $374 million, up 22% compared to the prior year and up 1% sequentially. This line does include the UBS acquisition-related fees. Excluding these fees, Custody and fund administration fees were up 14% compared to the prior year. The year-over-year growth was driven by new business, favorable currency translation and market. The sequential increase was primarily driven by favorable currency translation and markets. Assets under custody/administration for C&IS clients were $10.1 trillion at quarter-end, up 22% year-over-year and 1% sequentially. These results include $607 billion relating to the UBS fund administration acquisition. Year-over-year excluding the acquisition, the increases primarily reflects favorable markets, new business and the benefit of movements in foreign exchange rates. Sequentially, the benefit of movements in foreign exchange rates and new business were offset by unfavorable markets. Recall that lag market values factor into the quarter's fees with both quarter lag and month lag markets impacting our C&IS custody and fund administration fees. Investment management fees in C&IS of $110 billion in the first quarter were up 17% year-over-year and up 3% sequentially. The year-over-year growth was primarily due to favorable markets, new business, and the favorable impact of movements in foreign exchange rates while sequential comparison was primarily due to favorable markets. Assets under management for C&IS clients were $878 billion, up 19% year-over-year and 1% sequentially. Favorable market impacts and net new business were the drivers of the year-over-year growth while the sequential growth was driven by new business flows partially offset by unfavorable markets. Securities lending fees were $26 million in the first quarter, up 9% year-over-year and 3% sequentially. On a year-over-year basis, higher volumes were partially offset by lower spreads. For the sequential comparison, the slight increase was driven by higher volumes. Securities lending collateral was $187 billion at quarter-end and averaged to $182 billion across the quarter. Average collateral levels increased 48% year-over-year and 6% sequentially. The growth in volumes was driven by demand for U.S. treasuries. Other fees in C&IS were $35 million in the first quarter, down 9% year-over-year and up 6% sequentially. The year-over-year decline reflects lower sub-advisor fees. The income associated with sub-advisor fees has an associated lower expense in the outside services category. This decline in sub-advisor fees is consistent with the prior quarter we discontinued a service offering. The sequential increase was primarily attributable to seasonally higher benefit payment fees in the current quarter. Moving to our Wealth Management business, trust investment and other servicing fees were $393 million in the first quarter, up 14% year-over-year and 4% sequentially. Within wealth management, the global family office business had strong performance with fees increasing 17% year-over-year and 4% sequentially. Both increases were primarily attributable to new business and favorable markets. Each of the regions also performed well during the quarter. Both the year-over-year and sequential growth in the regions were driven by favorable markets, higher fees resulting from the adoption of new revenue recognition standard of $8 million and new business. There is a corresponding increase to outside service expense as a result of the adoption of the new revenue recognition standard. Assets under management for wealth management clients were $287 billion at quarter-end, up 10% year-over-year and down 1% sequentially. Moving to page six; net interest income was $393 million in the first quarter, up 8% year-over-year. Earning assets averaged $116 billion in the first quarter, up 6% versus last year. Total deposits averaged $98 billion and were up 3% year-over-year. Interest bearing deposits increased 10% from one year ago to $76 billion. This growth was partially offset by a 14% decline in non-interest bearing deposits, which averaged $22 billion during the first quarter. Loan balances averaged $32 billion in the first quarter and were down 4% compared to one year ago. The net interest margin was 1.38% in the first quarter, and was up three basis points from a year-ago. The improvement in the net interest margin compared to the prior year primarily reflects the impact of higher short-term interest rates partially offset by higher premium and amortization due to a change in estimation methodology and the balance sheet mix shift. On a sequential quarter basis, net interest income was down $3 million or 1%. Average earning assets increased 2% sequentially funded by increases in interest bearing deposits, short-term borrowings and non-interest bearing deposits. On a sequential basis, the net interest margin decreased one basis point with the benefit of higher short-term interest rates offset by higher premium amortization due to a change in estimation methodology, and a balance sheet mix shift. Net interest income for the quarter included a $7 million sequential decline due to the accounting for certain tax advantaged investments. This decline was fully offset on the fully taxable equivalent line. Premium amortization totaled $19 million in the first quarter, compared to $1 million one year ago, and zero in the fourth quarter. As we have discussed previously, beginning with this quarter, we are shifting our remaining life assumption estimation methodology for premium amortization, which will lead to a more consistent quarterly amount that we expect to be within the $10 million to $12 million range going forward. In the first quarter, there was a one-time $7 million true up adjustment to align the remaining amortization. This was included in the total amortization amount of $19 million. Looking at the currency mix of our balance sheet, for the first quarter, U.S. dollar deposits represented 69% of our total deposits. This compared to 74% one year ago and 70% during the prior quarter. Turning to page seven, expenses were $995 million in the first quarter, and were 11% higher than the prior year, and 1% lower sequentially. As previously mentioned, and as outlined in the second page of our earnings release, the current quarter included $23.7 million in expense associated with the UBS acquisition. The current quarter also included $8.6 million in expense associated with severance and other charges. In the prior quarter, we had $30.5 million of severance and other charges, as well as a special one-time employee cash bonus paid in connection with the adoption of U.S. Tax Reform. Excluding both the UBS acquisition and called out expense items, expense for the quarter was 8% higher than a year ago. Excluding charges in both the current and prior quarters, expense was 2% higher sequentially. Now keeping to total non-interest expense, I would like to break down those growth rates further. Starting with the adjusted 8% year-over-year increase, approximately two points of growth was from the unfavorable translation impact of changes in currency rates, primarily the British pound and euro. Excluding currency impact, therefore our year-over-year expense growth rate was approximately 6%. The adoption of the new revenue recognition standard added expense of $8 million, but was partially offset by lower sub-advisor costs due to the discontinuance of a product line. Both of these items were within outside services, and had corresponding fee revenue impacts. Combined these two items drove just under one-half of a point in expense growth, bringing our core expense growth rate to approximately 5.5%. With respect to the remaining increase in year-over-year expense growth, the following items are key drivers within the categories. Compensation was higher driven by increased incentive compensation and base pay adjustments from April of last year. The impact of staff growth on salaries was offset by staff actions and location strategy efforts. Benefits were higher primarily due to an increase in retirement plan expenses, medical costs, and higher payroll tax withholding compared to the prior year. Outside service costs were higher driven primarily by higher sub-custodian and technical services including market data costs. Equipment and software expense was up year-over-year due to higher software amortization and equipment depreciation. Occupancy-related costs were higher compared to the prior year, primarily due to accelerated depreciation related to a previously-announced facility exit in one of our Chicago locations. Shifting to the sequential expense view, excluding the expense charges in both the current and prior quarter, expenses increased 2% from the prior quarter. Compensation expense increased primarily reflecting higher expenses related to long-term performance-based incentive compensation due to divesting provisions associated with the grants to retirement eligible employees in the current quarter. This quarter's compensation included 32 million in expense associated with retirement eligible staff. As a reminder, similar to last year, there were also be approximately $11 million in expense associated with the retirement eligible employees in the second quarter. Additionally, next quarter's compensation will also be impacted by base pay adjustments of approximately $8 million, which were effective on April 1. Outside services costs were down sequentially, primarily relating to lower consulting, legal, and technical services expense, partially offset by higher third-party advisor costs resulting from the adoption of the new revenue recognition standard. There is a corresponding increase to trust investment and other servicing fees as a result of the adoption of the new revenue recognition standard, as I mentioned earlier. Equipment and software expenses were higher sequentially primarily due to increased software amortization and software support cost. Elsewhere, other operating expense declined from the prior period primarily due to a lower business promotional spend, staff-related costs, and lower miscellaneous expenses within the category. Staff levels increased approximately 5% year-over-year and 1% sequentially. The growth year-over-year includes the addition of approximately 240 partners as a result of the UBS acquisition; the remainder of the growth was all attributable staff increases and lower cost locations, which include India, Manila, Limerick, Ireland, and Tempe, Arizona partially offset by reductions in our higher cost locations. Turning to page eight, as we have discussed on previous calls through our value per spend initiative, we are realigning our expense base with the goal of realizing $250 million in expense run rate savings by 2020. Concurrently, we are embedding a sustainable expense management approach. We expect these efforts to slow our expense growth to be being more closely aligned with our organic fee growth. Our first quarter results reflect approximately $14 million in expense savings, reducing the year-over-year expense growth by approximately 1.5 points. This would equate to approximately 55 million on an annualized basis against the $250 million goal. I would like to highlight a few examples of our progress to date for you. We have focused on eliminating redundancy by strategically realigning employees and leveraging our location strategy. We continue to drive improvement and vendor pricing across multiple areas, and remain focused on reducing our consulting spend. We continue to cultivate a healthy pipeline of opportunities that we expect to discuss in future quarters. Turning to page nine, a key focus has been on sustainably enhancing profitability in returns. This slide reflects the progress we have made in recent years to improve the expenses to fee ratio, pre-tax margin, and ultimately our return on equity. The ratio of expenses to trust and investment fees is a particularly important measure of our progress as it addresses what we can most directly control. Reducing this measure from where it was previously as high as of 131% in 2011 to the levels we see today as a key contributor for the improvement in our pre-tax margin and ultimately our return on equity. Turning to page 10, our capital ratios remain strong with our common equity tier 1 ratio of 13.1% under the advanced approach, and 12.4% under the standardized approach. The supplementary leverage ratio at the corporation was 6.7% and at the bank was 6.1%; both of which exceed the 3% requirement, which became applicable to Northern Trust effective at the start of this year. With respect to the liquidity coverage ratio, Northern Trust is above the 100% minimum requirement that became effective at the start of 2017. As Northern Trust progresses through fully phased in Basel III implementation, there could be additional enhancements to our models and further guidance from the regulators on the implementation of the final rule, which could change the calculation of our regulatory ratios under the final Basel III rules. In the first quarter, we repurchased 2.5 million shares of common stock at a cost of $263 million. In closing, Northern Trust delivered strong financial results in the quarter, growing earnings per share by 45% over the prior year. Our assets under custody and administration and assets under management were up 21% and 16% respectively versus the prior year. Our return on average common equity, up 16%, expense to trust investment and other servicing fees of 106 were our best performance since the financial crisis. As we seek to drive profitable growth we were pleased to deliver strong positive operating leverage of 3.6 points and positive fee operating leverage of 4.7 points. On an organic basis our fee and expense growth rates were better aligned. While growth across our segments were strong, so too was the profitability of each business. Our wealth management business grew pretax income by 24% versus the prior year while improving the pretax margin from 37% to 41% and driving the expense-to-fee ratio down to 93%. Our C&IS business similarly drove strong year-over-year performance with pretax income growing 42% versus the prior year, and the pretax margin improving from 29% to 34%, and driving the expense-to-fee ratio down to 108. We are confident in our competitive positioning within growth markets and our ability to continue profitably growing our business. Before I conclude, as is customary for our first quarter earnings call, we will need to end today's call a bit earlier than in other quarters to allow sufficient time for all of us to get to our annual meeting, which begins at 10:30 A.M. Central Time this morning. Please accept our apologies in the event we have to close off the question-and-answer period earlier than our normal practice. Thank you again for participating in Northern Trust's first quarter earnings conference call today. Mark and I would be happy to answer your questions. Paula, please open the line.
Operator: Thank you. [Operator Instructions] We'll take our first question from Brian Bedell with Deutsche Bank.
Brian Bedell: Great. Thanks, good morning folks.
Mark Bette: Hi, Brian.
Brian Bedell: Hi, good morning. Maybe just to start off with FX trading, obviously another strong result, can you talk about the portion that you think is due from the FX swap activity in the treasury business, and it looks like even adjusting for currency volatility, we’re -- in the last two quarters, now we're seeing a big step up in that run rate, so just like to sort of think about that going forward.
Biff Bowman: Yes, thanks, Brian. So we had really solid growth both sequentially and year-over-year in foreign exchange, as you highlighted. And that was really driven by two key factors. The first was that in our core trading, if you will, our core trading business volumes were higher, and we did see some higher volatility. And so that produced approximately $63 million to $64 million of the FX volume you see, which is above our traditional run rate there. The remainder, approximately $15 million, is from the treasury swap activity that we called out. And if I could I'd like to give a little bit of an explanation on that. As a part of our normal balance sheet management we manage our currency and put it in the most effective currency. We have been able to, because of a demand for dollars from certain institutions, take dollars from our Fed balances, swap them into sterling and euro and place them with the ECB or the Bank of England. So when we've done that the resulting benefit from the currency swap flows through the FX line. As you would understand, we gave up some net interest income to get that. So the $15 million improvement you have seen in the FX line that's attributable to treasury trades was there was about $10 million of net interest income give-up to do that, but that's still a good economic trade for our shareholders if you think about that. And right now that's because of the widening we've seen in that swap trade because of the demand for dollars. So it's hard to project where that trade and that spread will go, but we've taken the right currency decisions and the right balance sheet decisions in the first quarter of this year, and even a bit of the tail end of 2017. So about $63 million to $64 million was core FX and $15 million was driven by the treasury swaps. You'll be able to see that in the 10-Q as well that shows up under the treasury trading line in the segment reporting.
Brian Bedell: Great, and that's fantastic color, thank you. And then maybe just to follow up on expenses. Obviously, a very good expenses controlled quarter. And you've achieved a little over 25% of the 250 programs so far on a run rate basis. So could you just talk about the trend going into 2Q and into the rest of this year, if 1Q was a sort of a high achievement for the year or do you see this continuing into the year? And then I think that you did mention something about -- talking about reinvestment in other growth initiatives on some of that, if you can detail that as well.
Biff Bowman: Let me talk on the expense side around it. So our core expense growth rate that we highlighted for you, at about 5.5%, we think that's what our core actually was in the quarter. If I look at any individual lines there I would call out perhaps in the other operating expense line, there can be some seasonality, some lower seasonality in that because our business promotion tends to be a little lower in the first quarter, and staff-related expenses which generally are attributed to ex-pat hypothetical tax or hypo tax can also have some episodic nature in the first quarter and be a little bit lower. But the trend along the other expense lines is generally, as you would've seen, historically unfold, that’s the only line item I would say is lower than maybe a traditional run rate. I think it's probably better to look at other operating expense over a year -- over a calendar year because we'll have the Northern Trust open in the third quarter and others. I'd look at that expense line over a year, and it could have a little seasonality. The other line items, obviously there's equity compensation in the first quarter that is traditionally larger than it would be in subsequent quarters. So you, I'm sure, can adjust for that in your models as you go forward. And I'm not sure where we talked about investments. I'm not sure where we said that, but we continue to reinvest in our business where the opportunity is there, but we continue to execute on value for spend as you saw the highlights in this quarter. That execution needs to continue throughout the year and that helps provide for that investment opportunities in the company.
Operator: And moving on, we'll go to Alex Blostein with Goldman Sachs.
Biff Bowman: Hi, Alex.
Alex Blostein: Hi, guys. Good morning, and thanks. So first question is around the NIR and some of the funding dynamics we saw from you guys in the quarter. I guess two questions there. First on the balance sheet side itself, so continued nice growth in average earning assets up 2-ish percent I think quarter-over-quarter. How much of that is due to new customer business versus some of the discretionary leveraging you've done in the past?
Biff Bowman: Yes, it's a bit of both. So we have continued to see the strong new business, but there was also some increased discretionary leverage.
Mark Bette: So, yes, Alex, the discretionary leveraging was actually down about $1 billion sequentially, on a year-over-year basis though it was about $3 billion last year and closer to $7 billion this year.
Alex Blostein: Got you. And then I guess on the -- yes, go ahead.
Biff Bowman: I'll just say it's a bit of both.
Alex Blostein: Yes, got you. And then I guess on the, more importantly, on the funding side. So if we look at the deposit betas and just the level of non-interest bearing deposits, so maybe we can unpack both of those. But I guess on the deposit beta side, looks like costs are up only three-ish basis points sequentially, which again is kind of nice to see given the fact that rates continue to move higher. So maybe help us unpack what's going on there. And then on the non-interest bearing deposit side again went up nicely. The balance went up nicely sequentially for the first time in a while, so maybe speak to kind of what drove that, how sustainable do you think that is, and do you guys think there might actually be an opportunity to reduce some of the short-term borrowings you had to put into place given the fact that the deposits seem to be holding up better. I know there's a bunch of stuff in there, but all kind of funded [ph] related.
Biff Bowman: Yes, let me start on the -- yes, we'll go to the liabilities, so -- but on the betas. I think it's probably easier to look at the betas over a longer period than any one quarter because, Alex, we can have period where it seems like our betas lower than you may think but we may have been ahead of the market in some periods. And there's other periods where maybe there's catch-up in any one given period, but if you look over time it's probably a better measure. The second part of that, I would say, is we really do follow the markets both for our retail deposits and for our institutional deposits. And particularly on the institutional side it's a competitive marketplace. We've got rate environment to look and see what our competitors are doing, and we try to match that in the marketplace or move with that in the marketplace and keep track of it. On the retail side or on the wealth management deposit side we have seen some increased competition in that marketplace or some increased rate from some of the peer competitors that we would have in the wealth space. And we've got a process, a disciplined process to look at our rate environment and pass those betas on. So, so far, the betas are what you see in there, and we'll probably continue to move in lockstep with where you anticipate markets going. In terms of the non-interest bearing deposits you're right. They had a slight increase in the quarter, a modest increase. I would be hesitant to tell you that I think that is the new flat level. We saw some monies come in that could be rate sensitive in the quarter. But that's three quarters in a row that it's been around the $21 billion to $22 billion level. We track that very closely, particularly the piece of that which is about a quarter of that or $5 billion to $6 billion of that, that we would deem to be the most rate sensitive. The remainder of that is wealth deposits and other things that are traditionally supporting what I would say core operating businesses. But we continue to have regular dialogues with that sort of $5 billion to see the sustainability of that and the long-term rate sensitivity of that. So far it's held up for three quarters.
Operator: And moving on, we'll go to Brennan Hawken with UBS.
Brennan Hawken: Good morning.
Biff Bowman: Good morning, Brennan.
Brennan Hawken: Yes, good morning. Thanks for taking the question. So just wanted to circle back to, I believe you highlighted in your commentary, Biff, about a balance sheet mix shift on the NIM front. And I know that you had talked a little bit about the FX swap. Was that what you were referring to? Was there something else? Could you maybe provide a little bit of additional clarity on what was behind that, and what was behind that comment?
Biff Bowman: Sure. That is one piece of it. And as you've also seen the loan portfolio as a portion of the balance sheet has gone down over time as our loan growth has flattened out or even gone slightly negative. So if you look at those two items. Plus, there's also some currency mix shift, some of that was caused by the swap as we moved out of dollars into other currencies. But the combination of those two essentially was the mix shift that I was talking about in the earlier question.
Brennan Hawken: Okay, got it. And then thinking about loan book and the proportion, can you remind us and maybe update us in so far as how things have changed. How much of that book re-prices in the beginning of the year. How show we think about re-pricing of the loan book as rates continue to -- or assuming rates continue to rise as they are, as the forward curve would suggest, and the potential for that to work its way through, just in thinking about sort of the blocking and tackling of bottling that book for you guys? Thanks.
Biff Bowman: Yes, so in terms of the seasonality component you asked first, it's really very modest. I think you're probably better off not thinking about it being that seasonal based on the current loan portfolio as our portfolio has changed over time. I think probably your better indicator is to look at where the loan yields moved sequentially between December and March of this year. And you saw pretty meaningful pickup from the spreads. As you might imagine, our funding for those loans is shorter in nature, kind of overnight to one month kind of LIBOR. And the asset spread has been able to move a little bit faster with some of the widening you've seen based on our funding levels. So I think we -- I would focus more on what you saw sequentially here and think about that as a better indicator of the yield pickups across those loan instruments. The other thing I would say to remember is we have a portfolio where the residential real estate has been in decline now for some time. And it's being replaced by what I would say, or we would call, investment management account secured loans, secured by your portfolio. Those tend to have lower yields. They also have lower credit risks associated with them. So that part needs to be factored into as you think about pricing.
Operator: And next from Autonomous Research we'll go to Jeffrey Elliott.
Biff Bowman: Hi, Jeffery.
Jeffrey Elliott: Hi, good morning. Thanks for taking the question. Thank you for giving that 5.5% figure for core expense growth. Can you help us think about organic revenue growth, clearly an important target for you to run with that in line with or above expense growth, but what do you think that is right now?
Biff Bowman: Yes, in the quarter, we would say it was approximately 5%. And in relations to that 5.5% core that I gave you, remember in that 5.5% core there are some inflationary or inorganic factors, right, our sub custody fees are tied to -- our expenses are tied to market levels. And there are other factors in those expense bases that are -- so we would say our organic expense growth rate is probably a little lower than the 5.5% that I quoted you. But the 5.5% is a good core sort of expense growth rate from our view. And then whatever you want to adjust out of that from your own organic or inorganic. And then on the organic revenue side or fee side -- on the organic fee side, let me be clear, we would say was about 5% in the quarter.
Jeffrey Elliott: Thanks very much. And then on the target ROCC range of 10 to 15, clearly this quarter you came ahead of the top end of that range. I mean, how do you think about that in an environment where the tax rate is lower? Is it time to think about moving the 10 to 15 up?
Biff Bowman: Yes, I think the change that's happened with the Tax Cut and Jobs Act has caused us to look at target range. And we will go through that process and look at that. We also want to see that unfold for a bit though, right. We're one quarter in. We want to see how the markets react. It is one quarter, as you saw in this quarter. The benefit of that tax cut flowed largely through to our shareholders in this quarter. But I think we'd like to observe the behavior of the competitive landscape for some time. But we are taking all of those factors into play. I do believe this is the kind of secular change, much like when we all had to add capital coming out of the crisis when we revisited our ROE target. This is the type of secular change that causes that revisitation. But we'd like to have some observation of the marketplace to help inform that process.
Operator: And next we'll go to Ken Usdin with Jefferies.
Ken Usdin: Thanks, good morning.
Biff Bowman: Hi, Ken.
Ken Usdin: Hey, Biff, how are you doing? Biff, on the capital front you've mentioned the willingness to leverage the balance sheet a little bit more. And then also, given that we've got this notice of proposed rule-making and that you're not a GSIB, can you talk about just how you think that might change your view of what's binding and how much excess capital you truly have to hold versus minimums and versus peers? Does it give you any flexibility upon first glance?
Biff Bowman: If I look at the NPR, is it related to, first was the CCAR when that came out, I would say that was largely as we expected. And it basically, I think, is what Governor Tarullo had largely highlighted before. And I would say from our standpoint we're supportive of it. It does increase our flexibility as we think about it around our capital planning. But I don't know that it has a material financial impact to us at all in terms of how we run our business, because we've been operating under the capital rules for a while. In terms of flexibility as I think about leverage and some of the commentary that's come out from the supplementary leverage ratio, we're not bound by that. And that was really something that I think was more impactful to the GSIBs than it was for us. So if they change tier 1 leverage that is currently our binding constraint. So you ask about our capital levels, we would be bound by tier 1 leverage, although not terrible bound by that as you can see from our capital levels. And lastly, Ken, I would end by -- we've just submitted our capital plan, we await the feedback that we will get in June, but we entered that from a position of strength and as we think about the uses of our capital, we can either deploy it on the balance sheet and put it to work or we can return it. We've made an ask to our regulator and we will see how that is opined on.
Ken Usdin: Understood. And to that last point, Biff, can you just help us understand how you think about those two factors, the decision tree to use a little bit more leverage and get some NII versus the decision tree to put it into an extra ask if you had extra flexibility.
Biff Bowman: Yes, sure. So the first thing we look at is if we're contemplating return, if you think about that we've got a dividend range that we've been comfortable, if you look historically, we talk about in our dividend returns and it's been somewhere in the 30% to 40% dividend payout ratio over time. Then we think about the rest of that return in the form of buyback. When we think about it in the form of buyback, we first look at -- to make sure we offset dilution. As you saw in this quarter, we did a little bit of larger amount of buyback particularly because we've had shareholder dilution that we wanted to offset, but then the second part I think that gets to your question is we look at the return to shareholders. And so if there are internal uses or external uses for that capital to drive a higher shareholder return than a buyback, that's something we contemplate as management do. If we think the buying of shares back is the maximum return, we do that. If we think not buying the shares back and using it as a leverage on the balance sheet is the maximum return, we do that and we weigh all three of those and end up choosing the one that we think is the best return path for our shareholders.
Operator: And moving on we'll go to Glenn Schorr with Evercore ISI.
Glenn Schorr: The all-in yield on the securities book came down and governments moving up and everything else moving down, it's a little counterintuitive as people think of high rates and also how much of your business is growing. So maybe we can just get an update on pictures floating in the securities book, what does it float off of, and just if we should expect it to move up from here?
Biff Bowman: Yes, so let me walk you through the securities portfolio, because it is an intuitive that it would've gone down, but it'll be, I hope, more intuitive when we walk you through that. First of all, in the securities portfolio, about 16 basis points was premium amortization. So that in itself would've started to move the securities yield to where you wanted. We also had about 5 basis points of drag from FTE, which is offset in the FTE line. But we had about five basis points of drag from that. And then we had about five basis points of drag from the mix shift that I talked about earlier. That was really then offset by about 20 basis points for rates and offset by day count, because obviously we had fewer days, so that improved the securities yield. I hope that's better color, because if you add all of that together, that securities yield very much moved the way you would've thought. In fact, it would've been one of the biggest moves we've seen in the securities yield sequentially. It just was masked somewhat particularly by the premium amortization in the quarter. So I think that's a pretty good walk.
Mark Bette: And Glenn, as far as the mix, we would still look at it -- if you look at the portfolio, roughly, half and half the shorter portfolio versus the longer and the shorter would move with both one-month and three-month, with one-month a little bit more weighted than the three-month and then for the longer portfolio, you're looking at two, three, five-year type of maturities overall kind of weighted slightly above one year for the whole portfolio. So hopefully that helps.
Operator: And moving on we'll go to Michael Carrier with Bank of America Merrill Lynch.
Michael Carrier: Maybe just one follow-up on the asset yields and then the overall NIM, if I put everything together and just think of a starting point for Q2, is it really just the premium amortization change and I think you mentioned it might've been 7 million yield increase in the first quarter. So should we normalize for that or are there other components you mean that we should be normalizing and thinking about it like a starting point for this second quarter?
Mark Bette: Yes, I would say if you think about the NIM sequentially from fourth quarter to the first quarter, the things that impacted it, that you could factor in as the NIM benefited by day count. So there could be some drag, if you will, because the day count will be higher in the second quarter, but that was about 1 basis point. Premium amortization was about seven points of NIM drag in the quarter and then you can subtract what you think is a normalized impact. That's the total impact, but I'll let you do that and then there was some from the FTE adjustment, about two bips of drag and then there was about 5 basis points of that currency and mix shift that I talked about on the balance sheet. But rates themselves probably would've added about 12 bips. If you do all of that math and you go back, I think you can get to probably a NIM that's a better launch point mark. I don't know if you got anything to do with that.
Biff Bowman: No, I don't think so. But in reiterating the point that Biff made about the FX trading line, which we had 15 million of benefit there from our treasury swap activity that actually -- if that had not occurred, we estimate we would've had about 10 million more of NIM or net interest income in the quarter, so that was part of that mix change that this highlighted sequentially.
Operator: And moving on, we'll go to Vivek Juneja with JPMorgan.
Vivek Juneja: Hi, thanks for taking my questions. Can you hear me?
Biff Bowman: Yes. Hello.
Vivek Juneja: A couple of quick questions, the $250 million cost cuts, Biff, can you give a little more color on it, what are we going to be getting this from, timing, when should we start to -- we were expecting you'll start to give more granularity around this, so…
Biff Bowman: Yes, so as we said in our prepared remarks, in-quarter we had $14 million of savings, which on a run rate basis would be approximately 55. The categories that those savings would've come from were in some cases what we would call "Organizational alignment," that's things like aligning our staff to the right locations, aligning our staff from eliminating redundancy, et cetera. So those programs are under way and they're producing the savings we see. But we also have savings in areas like procurement where we negotiated different contract arrangement with a variety of vendors that also provided some of that $14 million in savings in-quarter. And then we are continuing to get what I would call, "Process optimization opportunities," where we are utilizing robotics and other artificial intelligence opportunities on things like document ingestion et cetera. All of those are starting to contribute to that, and we have a portfolio of opportunities that on a regular basis we will update you with how they help drive those savings. As we said consistently, we anticipate that that savings will be roughly evenly distributed across the 3 years, and as you can see we're off to a pretty good start with $55 million in the first quarter this year.
Vivek Juneja: Okay, so when you're saying evenly distributed over three years, let me just clarify, the 250 -- let's say, I'm going to round the number $80-ish million, we should see this year, so it's 14. It's not taking the 55 annualized it's actually 14 plus whatever you get additional in the next quarter and the following three quarters and all of that adding up to 80 or are you talking about some kind of annualized run rate?
Mark Bette: Vivek, this is Mark. I think the way you're thinking about it would probably be the right way where you would add up the quarters and the impacts. Again, it's still early in this, it's not going to be a smooth straight line and to the extent that we get more visibility around that as we go, we'll update you, but we do think at this point we're looking at -- the way you outlined it for now is the best way to think about it.
Vivek Juneja: Okay, because what I'm trying to understand is how much more incremental this year, given that you are already at annualized 55?
Mark Bette: Right.
Vivek Juneja: Okay. Secondly, what's your -- go ahead.
Mark Bette: Yes, I mean we have planned so far in year saving, so yes, but…
Vivek Juneja: No, no. My point is that the 14 or 15 whatever you want to use it, the annualized is 55 already. So if you were to let say so you have got 25 left, if you were to achieve a little more in the second quarter, you could be done. So is it really just 1/3rd each year, or is that not much this year and therefore the rest there is some -- I am trying to understand is there like a something going on that pushes some of the savings to year two? Or, the interpretation should be more that even if you just simply add $5 million or so per quarter incremental, you could actually be a -- we may be running little bit ahead of the 1/3rd?
Biff Bowman: Vivek, I think we have got a portfolio that will unfold over quarters and over years. And we are going to continue to execute on it. I don't think you should interpret that we are largely done for the year because we are at 55. I think you should anticipate that we will give you updates. And we are continuing to progress on our portfolio of opportunities.
Operator: And moving on, we will go to Mike Mayo with Wells Fargo Securities.
Biff Bowman: Hi, Mike.
Mike Mayo: Hi, just following up on the last question. So, your pre-tax margin of 33% is the highest in several years. Do you expect the pre-tax margin to stay at that level? Or, is there more investment spending that we should expect going forward?
Biff Bowman: We are going to continue to try to drive the profitability in the firm in all of the key metrics. If we continue we think to drive that expense to fee ratio even harder that we think we can improve that pre-tax margin over time. But -- and we think our current plans we have -- we can both execute on value per spend and have investment opportunities inside of our business. So, we do think there is still some opportunities to improve both. We moved meaningfully this quarter as you saw in that expense to fees, but we do think there is opportunities. As you saw in our wealth business actually improved its margin meaningfully in the quarter as did our C&IS business. So, yes, we do. We think there is opportunities.
Mike Mayo: And is the expense to fee ratio is still the right measure has opposed to expenses to total revenues? I mean you get paid in compensating balances and a period of higher rates. I mean at some point do you want to look at that more holistically? And then one of your competitors recently said let's look at performance excluding the market impact. Just questioning whether you are exploring some alternative ratios to evaluate your performance?
Biff Bowman: Yes. Good question. So, I would say there's not one absolute perfect ratio. But given that fees are our largest revenue line, we've kind of anchored to the expense to fees as an important ratio. We absolutely though care about operating leverage to your point as well because obviously we saw the power of net interest income and foreign exchange flowing through the revenues. And we are not dismissive of that. So we do look at operating leverage. But we look at core fee operating leverage because FX and to some degree net interest income can have a bit more volatility to those earnings stream. In terms of the second part of the question around the organic, we've been talking for several years now about how important we think the organic growth rate is in the firm. And so, we do internally look to at what type of leverage we are getting organically. So how are we growing our fees versus our expenses on a more organic basis, we have not published anything about that externally. But I would say that is absolutely internally one of our key drivers and metrics. It's something that I can tell you that management team and our board look at not only our absolute financial performance, but they look at the organic performance on a regular basis. And that's the way we report it to them so they can understand what management drove versus what the macro environment drove. And under consideration, they both are impactful to our business.
Operator: And our final question will come from Marty Mosby with Vining Sparks.
Biff Bowman: Hi, Marty.
Marty Mosby: Hi, Biff, thanks for taking the question. I want to drill in on this premium amortization and think of a more as you roll forward because when rates are low, you have to buy securities that have premiums and not just because rates are rolling lower. So, it kind of just creates that phenomenon. Now, rates are going higher so those securities you can buy really won't have that kind of premium. So, as you are thinking of this rolling off, you have such a short duration, this premium amortization while a new setup in a negative to net interest income has a finite life and should be kind of replaced with bonds that don't have as much premium on them. So, you could think of this in a year all of sudden this $19 million that goes to 12 goes to 0 in a reasonable period of time. So, just want to see what you thought about that?
Biff Bowman: Yes. So, as we said it was 19 in the quarter because to the tru-up it was we think we 10 to 12 going forward. To your point, it depends on where we are buying those instruments. If your premise which is right quantitatively if that continues, then we could potentially be buying in that lower premiums which could move that 10 to 12 and will give you updates if we think it moves off of that. I would also say though another factor, Marty, is if we change the total amount of those securities that we hold on our portfolio, so even though it may be a lower amortized amount, it's on a bigger balance that could indeed create that still $10 million to $12 million range. We will give updates. But, right now our best thinking on that based on the current environment is in that $10 million to $12 million range for premium amortization.
Marty Mosby: And the securities that you are buying now, do they still have like you said the securities get bigger but they will have significant less premium than what you bought over the last couple of years I would think.
Biff Bowman: I don't know that for certain that would make intuitive sense to me, but we would have to confirm that you after the point because I don't -- it makes sense from where you describe it from the rate environment. That makes sense. Mathematically, I don't know if the team is buying portfolio -- if the team is buying instruments that have some different kind of premium amortization profile than what markets would suggest. I would guess not. My guess is your premise would be right.
Operator: Thank you. And that does conclude our question-and-answer session as well as our conference. Once again, we thank you for joining us for the Northern Trust Corporation first quarter 2018 earnings conference call. You may now disconnect.